Executives: John Sidney Oxford - Vice President and Director of External Affairs Edward Robinson McGraw - Chairman, Chief Executive Officer, President, Chairman of Renasant Bank, Chief Executive Officer of Renasant Bank and President of Renasant Bank Kevin D. Chapman - Chief Financial Officer, Principal Accounting Officer, Executive Vice President and Senior Executive Vice President of Renasant Bank James W. Gray - Chief Revenue Officer, Executive Vice President and Senior Executive Vice President of Renasant Bank William Mark Williams - Executive Vice President, Chief Banking Systems Officer of Renasant Bank and Senior Executive Vice President of Renasant Bank  Michael D. Ross - Executive Vice President, President of The Eastern Division of of Renasant Bank and Chief Commercial Banking Administrative Officer of of Renasant Bank 
Analysts: Emlen B. Harmon - Jefferies LLC, Research Division Catherine Mealor - Keefe, Bruyette, & Woods, Inc., Research Division Michael Rose - Raymond James & Associates, Inc., Research Division David J. Bishop - Drexel Hamilton, LLC, Research Division Matt Olney - Stephens Inc., Research Division Kevin B. Reynolds - Wunderlich Securities Inc., Research Division Andrew W. Stapp - Hilliard Lyons, Research Division Peyton Nicholson Green - Sterne Agee & Leach Inc., Research Division
Operator: Good morning, and welcome to the Renasant Corporation Third Quarter 2014 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to John Oxford with Renasant Corporation. Please go ahead.
John Sidney Oxford: Thank you, Amy. Good morning, and thank you for joining us for Renasant Corporation's Third Quarter 2014 Earnings Conference Call. Participating in this call with us today are members of Renasant Corporation's executive management team. Before we begin, let me remind you that some of our comments during this call may be forward-looking statements, which involve risk and uncertainty. A number of factors could cause actual results to differ materially from the anticipated results or other expectations expressed in the forward-looking statements. Those factors include, but are not limited to, interest rate fluctuation, regulatory changes, portfolio performance and other factors discussed in our recent filings with the Securities and Exchange Commission. We undertake no obligation to update or revise forward-looking statements to reflect changed assumptions, the occurrence of unanticipated events or changes to future operating results over time. And now I'll turn the call over to our Chairman and CEO, E. Robinson McGraw. Robin?
Edward Robinson McGraw: Thank you, John. Good morning, and welcome, everyone, to our third quarter 2014 conference call. Our financial results for the 3 and 9 months periods ending September 30, '14, reflect the continued execution of our long-term strategies, specifically higher levels of earnings and improved profitability. Our EPS of $0.49 represents our highest quarterly earnings in the 110-year history of our company, excluding periods which included onetime gains associated with acquisitions. In addition, our return on average assets for the quarter was 1.07%, which marks our second consecutive quarter of exceeding the 1% threshold, while our year-to-date return on average assets was 1.01%. These accomplishments were driven by strong non-acquired loan growth and a continued focus on revenue growth while, at the same time, managing expenses. In regard to capital levels, our TCE ratio stands at 7.37% at September 30, '14, which coupled with strong regulatory capital ratios, will continue to support future balance sheet growth, whether that growth is organic or the result of an external opportunity. During the third quarter of '14, net income increased to approximately $15.5 million as compared to approximately $6.6 million in the third quarter of '13. Basic and diluted earnings per share were $0.49 for the third quarter of '14 as compared to $0.24 for the same period in '13. Let me remind you that periods discussed prior to September 1, 2013, do not reflect any impact from the First M&F acquisition. For the third quarter of '14, our return on average assets was 1.07% as compared to 0.56% for the third quarter of '13, while our return on average equity was 8.8% for the third quarter of '14 as compared to 4.75% for the same period in '13. Our return on average tangible assets and return on tangible -- on average tangible equity were 1.20% and 16.5%, respectively, as compared to 0.63% and 8.74%, respectively, for the third quarter of '13. Total assets as of September 30, '14, were approximately $5.75 billion, relatively unchanged from December 31, '13, and a decrease from $5.83 billion on a linked quarter basis. The decrease in assets on a linked quarter basis is due to the seasonal runoff of deposits, primarily in public fund deposits and the related reduction of the liquid assets in which these seasonal deposits were investing, such as low-yielding, interest-bearing cash or short-term investments. Total deposits were $4.76 billion at September 30, '14, as compared to $4.84 billion at December 31, '13. Non-interest-bearing deposits averaged approximately $896.9 million, which represented 18.74% of our average deposits for the third quarter of '14, as compared to $660.4 million or 16.79% of average deposits for the third quarter of '13. Our cost of funds was 47 basis points for the third quarter of '14 as compared to 57 basis points for the same period in '13. Total loans, including loans acquired in either the First M&F merger or in FDIC-assisted transactions, collectively referred to as acquired loans, were approximately $3.96 billion as of September 30, '14, as compared to $3.88 billion at December 31, '13. Excluding acquired loans, loans grew $280 million or 12.92% annualized to $3.18 billion at September 30, '14, as compared to $2.89 billion at December 31, '13, and increased $69 million or 8.87% annualized, from $3.09 billion on a linked quarter basis. Breaking down year-to-date non-acquired approximate loan growth by market. Our Alabama market grew loans about 4.8% and has now grown loans in 18 of the last 19 quarters. Our Mississippi market increased loans by 11.4%, and our Tennessee market grew loans by 7.9%, which is their 11th consecutive quarter of loan growth. In Georgia, we grew loans by 22.7%, all this compared to the third quarter of '13. Looking ahead, our loan pipelines and opportunities for growth throughout all of our markets project healthy loan growth for the remainder of '14. Net interest income was $15.5 million for the third quarter of '14 as compared to $38.7 million for the third quarter of '13 and $52.2 million on a linked quarter basis. Net interest margin was 4.12% for the third quarter of '14 as compared to 3.86% for the third quarter of '13 and 4.25% -- 4.24% on a linked quarter basis. Additional interest income, recognized in connection with the accelerated paydowns and payoffs from acquired loans, increased net interest margin by 11 basis points in the third quarter of '14 as compared to 28 basis points on a linked quarter basis. We did not record any additional interest income in connection with the accelerated paydowns and payoffs of acquired loans in the third quarter of 2013. Noninterest income was $22.6 million for the third quarter of '14 as compared to $18.9 million for the third quarter of '13. Our increase in noninterest income year-over-year is primarily attributable to the First M&F merger. On a linked quarter basis, our noninterest income growth was driven by higher levels of deposit and loan fees and increased revenues generated from our insurance, wealth management and mortgage banking divisions. For the third quarter of '14, our gain on sale of mortgage loans increased 31.42% on a linked quarter basis, which was primarily a result of improved margin. It's worth pointing out that we recently hired an experienced team of mortgage bankers in the Birmingham and Montgomery, Alabama markets, as well as a seasoned team in the Atlanta, Georgia area. We expect these teams to significantly enhance production in those markets in the near future. We're looking to add to our retail mortgage production capacity in Huntsville, Nashville, Memphis and DeSoto County and Jackson, Mississippi, while continuing to focus on growing wholesale mortgage production across our footprint and in contiguous states. Noninterest expense was $48.2 million for the third quarter of '14 as compared to $46.6 million for the third quarter of '13. The increase in noninterest expense as compared to the same period in '13 was primarily due to the expenses of the acquired First M&F operations. On a linked quarter comparison, noninterest expense decreased by $1.2 million or 2.47% due primarily to a decrease in salaries and employee benefits and other noninterest expenses. The decrease in noninterest expense is due to a reduction in professional fees, communication and marketing expenses. At September 30, '14, total nonperforming loans 90 days or more past due and non-accrual loans were $71.8 million, and total OREO was $34 million. Our nonperforming loans and OREO that were required either through the First M&F merger or in connection with the FDIC-assisted transactions, collectively referred to as acquired nonperforming assets, were $45.6 million and $13.6 million, respectively, at September 30, '14. Since the acquired nonperforming assets were recorded at fair value at the time of acquisition or are subject to loss-share agreements with the FDIC, which significantly mitigates our actual losses, the remaining information in this discussion on nonperforming loans, OREO and the related asset quality ratios exclude these acquired nonperforming assets. Excluding acquired loans, our nonperforming loans were $26.2 million as of September 30, '14, as compared to $19.2 million at December 31, '13. Nonperforming loans as a percentage of total loans were 83 basis points as of September 30, '14, as compared to 66 basis points as of December 31, '13. The increase in nonperforming loans at September 30, '14, was primary due to a $4.7 million matured loan, which carried 90 days past due. That was brought current and renewed subsequent to quarter end. Adjusting our nonperforming loans as a percentage of total loans for this $4.7 million loan would result in 8 -- in 68 basis points. Annualized net charge-offs as a percentage of average loans were 50 basis points for the third quarter of '14 as compared to 38 basis points for the third quarter of '13. We recorded a provision for loan loss of $2.5 million for the third quarter of '14 as compared to $2.3 million for the third quarter of '13. The allowance for loan losses totaled $44.6 million at September 30, '14, as compared to $47.7 million as of December 31, '13. The allowance for loan losses as a percentage of loans was 1.41% as of September 30, '14, as compared to 1.65% as of December 31, '13. Our coverage ratio or the allowance for loan losses as a percentage of nonperforming loans was 169.81% as of September 31, '14, as compared to 248.9% as of December 31, '13. Adjusting this ratio for the previously mentioned $4.7 million nonperforming loan, our coverage ratio would be 207%. Loans 30 to 89 days past due as a percentage of total loans declined to 0.25% at September 30, '14, as compared to 0.31% at December 31, '13. OREO was $20.5 million as of September 30, '14, as compared to $27.5 million at December 31, '13. As of September 30, '14, our Tier 1 leverage capital ratio was 9.31%, Tier 1 risk-based capital ratio was 12.28%, and our total risk-based capital ratio was 13.43%. And all capital ratios -- and all of our capital ratios -- our regulatory capital ratios continue to be in excess of the regulatory minimums required to be classified as well capitalized. Then, Amy, I'm going to turn it back over to you for any questions anyone has.
Operator: [Operator Instructions] Our first question comes from Emlen Harmon at Jefferies.
Emlen B. Harmon - Jefferies LLC, Research Division: Anything changed in how you're thinking about capital now that TCE is exceeding kind of your -- the low end of your goal? And just kind of what's the constraining factor been on the dividend at this point? And does that capital build portend the dividend increase at some point potentially?
Edward Robinson McGraw: Potentially, down in the future, we want to go ahead and continue building capital at this point, Emlen. But at some point, we will consider the dividend, but not immediately.
Kevin D. Chapman: Yes. And Emlen, just to build on that comment, if you look at our -- if you look, we've been building capital fairly appreciably since the M&F acquisition. And that's due to the fact that we've been maintaining a flat to slightly growing balance sheet. The balance sheet is growing slightly. But our return on Tier 1 capital, return on tangible capital is somewhere between 16% and 17%. That return is what is allowing us to accrete capital quickly, which is what we anticipated post-M&F. It's just the combined earnings. We felt we're going to be strong. So as we look at the dividend and the capital needs, one thing we are looking at is Q1 of next year, we've got the implementation of Basel III, which we don't anticipate will have a significant impact on our capital ratios. But in some of the ratios, it will bring down a little bit, particularly, on the risk-weighted assets side. It will cause some of our risk-weighted asset ratios to come down a little bit. But again, we don't expect that to be material. And then also, looking at as far as a dividend increase, do we increase the dividend or do we look at retaining some of that capital and maybe deploying it in a higher-yielding -- in M&A? Are we able to get a higher return by preserving a little bit of that capital rather than doing a dividend increase and just deploying it in a high-yielding, high internal rate of return M&A transaction?
Emlen B. Harmon - Jefferies LLC, Research Division: Got it. And Kevin, a quick one for you. Just how does the balance sheet react to a short end-only increase in the yield curve versus a parallel shift?
Kevin D. Chapman: Short end-only, we are -- okay, let's take a step back. We are positioned roughly neutral. We're -- We have been positioning the balance sheet to be rate-neutral, possibly asset-sensitive, slightly asset-sensitive. So as rates -- the short end of the curve moves, I still -- we would still be in that same position. We would still be slightly asset-sensitive. We view our deposit base as being a very strong deposit base. We've taken efforts to ensure that any volatile funding -- that we have not built a balance sheet off of volatile funding. So as rates move, we will have -- we will be slightly asset-sensitive at the short end of the curve, worked to only move up, and the longer end stayed flat. We would be asset-sensitive.
Emlen B. Harmon - Jefferies LLC, Research Division: Got It. All right.
James W. Gray: . And I just want to -- this is Jim Gray. We also have a fair number of our loans or variable rate loans and should move up as well.
Kevin D. Chapman: Yes, that's the other thing I was going to mention, is that we've made a concerted effort over the last 1.5 years to really focus on variable rate loans. And then on the fixed rate side, stayed less than 5 years on the fixed rate loan production. And to that point, for the past several quarters, as we look at our new and renewed loans, we are doing -- about 40% of those loans are variable rate. 60% would be fixed rate. As we look back 2 years, that probably would have been lower in the 70-30, 70% fixed, 30% variable. So we've made a concerted effort to do more variable rate loans and do variable rate loans without floors.
Operator: Our next question comes from Catherine Mealor at KBW.
Catherine Mealor - Keefe, Bruyette, & Woods, Inc., Research Division: Do you have the total loan yield for the quarter? I know you break out the average earning asset yield, but any chance you have the loan yield handy?
James W. Gray: Yes. Our average loan yield for the quarter was 5.01%, and on a core basis, it would have been at 4.59%. That would be excluding all of the -- and Kevin might want to clarify that. That would be excluding all of the purchase accounting, even what we kind of have on a regular basis. So...
Catherine Mealor - Keefe, Bruyette, & Woods, Inc., Research Division: Got it. And that would exclude the roughly 15 bps of your normal fair value accretion plus the 11 pbs that accelerated this quarter?
James W. Gray: That's correct, yes.
Catherine Mealor - Keefe, Bruyette, & Woods, Inc., Research Division: Okay. And what was the number again? It's 4...
James W. Gray: 4.59% was the core, and 5.01% was the all-in.
Catherine Mealor - Keefe, Bruyette, & Woods, Inc., Research Division: Okay. And so then it looks like your core loan yields are actually staying fairly stable, down just a couple of bps. So it feels like you're giving up a little bit of loan growth, which was still strong but a little bit lower than last quarter, to maintain your yields and your margin. Would that be a fair assessment?
Edward Robinson McGraw: That's a fair assessment, Catherine. And going back to Kevin's and Jim's response to Emlen's question, we have allowed a lot of loan -- we passed on a lot of the loan opportunities due to either a combination of things, mainly the fixed rates at very low levels for long periods of time. And going back to Kevin's comment, we're keeping our loans at 5 years and below for the most part. And so therefore, we've sacrificed growth in that respect, but we're continuing to see margin drives. With that in mind, our new loan production for the quarter, we had an average rate of about 4.48% on a rolling rate there. On the renewals, we were looking at about a 4.65%. So we are in fact, to your point, keeping our loan yields high in order to maintain margin.
Kevin D. Chapman: Yes. And to that point, so that if you look at the blend of the new and renewed, we're staying in that 4.50%, 4.55% range, which is where we've been for the last 5 to 6 quarters. What that allows us to do is not only on the loan yield side, we are seeing some slight compression on the loan yield side as we reprice out of -- or we roll out of a 4.70%, 4.80% yielding asset into a 4.55%. But we're able to pick that basis point of margin compression up on the liability side. We continue to pick up 1 basis point or 2 per month and time deposit repricing, rolling out of higher costs in time deposits and into lower pricing or just the repricing of the time deposits. That's what the rate is giving on the liability side. We're also picking up 1 basis point or 2 just a mix change on the funding side. So what that translates to in the margin is flat to slightly -- flat to increasing margin, which actually this quarter, we saw margin tick up 1 basis point or 2 -- 3 to 5 basis points on margin.
Catherine Mealor - Keefe, Bruyette, & Woods, Inc., Research Division: Got it. And so -- and part of the margin expansion this quarter was from what you just described, part of it, too, was from the deployment of excess liquidity, which feels like that -- you've kind of come to the end of that, at least for now. So should we think that margin expansion is going to be a little bit more moderate than the 3 bps that we saw this past quarter?
Kevin D. Chapman: Yes. So...
Catherine Mealor - Keefe, Bruyette, & Woods, Inc., Research Division: Or you're just having the 1 bp a quarter in improvement in the funding cost?
Kevin D. Chapman: Yes. So let's break down the 5 basis points of margin expansion into the 2 buckets. 2 to 3 basis points of that 5 basis point improvement, 2 to 3 basis points were the repricing that I discussed. The other 3 basis points came from deployment of excess liquidity.
Operator: The next question comes from Michael Rose at Raymond James.
Michael Rose - Raymond James & Associates, Inc., Research Division: Yes. Just wanted to get a sense -- obviously, the core loan growth was pretty good this quarter. I guess, 2-part question. Where was the pipeline -- where does the 30-day pipeline stand? And then how should we think about progression of runoff from M&F and recovered book as we move forward? I mean, over the next quarter or 2, do you actually think you can grow net loans?
Kevin D. Chapman: A couple of comments. Loan growth for the quarter, we saw -- going back over the first 3 quarters, our loan originations for the first quarter were $167 million. Second quarter, which we had a strong quarter, as you recall, were $267 million. We're at $227 million this quarter, which is pretty much a fairly normalized rate for us. Payoffs this quarter, though, hit the -- if you will recall, last quarter, I kind of warned everyone that 20% annualized was based on payoffs and paydowns not being as high as they normally are. Most of those came in July this quarter. Whereas we only had $124 million of payoffs and paydowns last quarter, we had $184 million this quarter. But the average, the second and third quarter, our annualized loan growth for the combined 2 quarters was almost 14%. So very strong, as you look at it. Going back to the last 2 quarters, we've given a 30-day pipeline of -- in the mid to high 80s, and we're at about $82 million 30-day pipeline right now, Michael. So we're still looking at a very robust loan pipeline. And the good news is that's pretty much throughout the system. As we look at it, Tennessee has about a $22 million 30-day pipeline, Alabama about a $15 million, Georgia about a $15 million and Mississippi about a $30 million pipeline. So we're seeing some strong opportunities across the system. Of the Georgia volume, about $6 million of that's with the ABL group. So we're seeing a pretty strong pipeline across the system. Anybody want to comment into that?
Edward Robinson McGraw: Yes. I mean, just further color on that, Michael. We -- and Kevin alluded to it earlier, our pipelines are -- have stayed -- are strong and continue to be strong. We continue to book consistent new loan growth. The -- we made strategic decisions to not compete with our competition on some really low-priced long-term fixed rate loans because we didn't feel like that was appropriate use of our capital. We still maintain those customers. In a lot of cases, we saw -- we chose less in loans co [ph] where we still have the primary operating account of the customer, and we continue to originate new loans for that customer. But they just saw some extraordinarily low rates that we just refused to compete with. We think that's a temporary phenomenon, and the pricing should be a little more rational on a go-forward. So that should result in our loan growth being -- net loans growing at a little faster pace than we saw in the third quarter.
Kevin D. Chapman: Yes. We feel real good with the loan growth that we have, and we feel like it's in line with our projections and with our budget. And we're able to do that without sacrificing margin or term or terms in that regard, which we're seeing happening quite a bit from competition. So we feel very comfortable with where we are.
William Mark Williams: And Michael, this is Mark Williams. A little bit more color on the M&A front [ph]. About $10 million of that was associated with problem loan resolution with no impact to our buying. $7 million of that was some of that, what we've discussed, the irrational competition and some of the things we're not doing. And if you recall, we had a weather event in North Mississippi earlier this year, and we had some insurance proceeds from the tornado that paid down a little over $4 million. So some unusual events there.
Michael Rose - Raymond James & Associates, Inc., Research Division: That's really helpful color. And just as a kind of a follow-up, Robin, I think you mentioned the strength of the ABL group coming on. Could you give us some color, maybe geographically, strength in the pipeline and growth? And maybe there's been some pickup in Mississippi given the strength of the football teams. So maybe Mike Ross can speak to that, but some extra color.
Edward Robinson McGraw: Mike may want to give you some color on the Ole Miss-Alabama game. I don't know.
Michael D. Ross: I think I'll defer to Robin. Thank you.
Edward Robinson McGraw: Thank you for bringing that up, Michael. You want to comment on your ABL.
Michael D. Ross: Yes. Actually, we're seeing some nice activity at the ABL group. As far as geographically, the pipeline, a lot of that is in Georgia. We're optimistic that, that will continue to give more opportunities across the footprint as our bankers and our credit team become more and more familiar with the types of deals that that group can do and seeing referrals from across our system. And so we anticipate that continuing to accelerate. Same thing with our equipment finance and leasing team. We're seeing some good activity out of that group and, again, as our bankers are getting more and more used to how to refer business and how to work with that team. And so I think, we're optimistic that, that will result in continued growth in those lines.
Kevin D. Chapman: And to your question about the M&F and the runoff there, we feel like that the fourth quarter should be down from the third, and then going forward next year, we should be fairly normalized payoff. We have some more credits because we want to bring the resolution more quickly that are still coming in that direction. We think we'll bring some of those to resolution this quarter, too, in a positive manner, quite frankly. So the other side of it is we're seeing the loan pipeline from the southern region, which is the -- about half of the M&F region and also in other parts of Mississippi. We're seeing the former M&F lenders beginning to increase their pipeline. So we're about to replace. About -- it's about $35 million normal payoff -- paydown on that M&F book on a quarterly basis, and that -- this quarter, they got relatively close to offsetting that. I think fourth quarter, we assume fairly close to offsetting that runoff at this stage. So we're beginning to see that occur about as fast as we anticipate it to turn.
Operator: The next question comes from David Bishop at Drexel Hamilton.
David J. Bishop - Drexel Hamilton, LLC, Research Division: Okay, just getting some color there. You guys have sort of bucked the trend from some of your peers there, especially on the fee income side there, especially on the deposit service charges and some of the fees on the loans and deposits. Maybe some color there, what drove that, any change and maybe the pricing structure within the system.
James W. Gray: This is Jim Gray. On the deposit fee side, really just had a good quarter of activity, and it's somewhat seasonal. We tend to see the third quarter always being pretty good. We -- as far as any fee increases, we had some minor fee increases on ATM fees, both foreign and for our client. But like $0.50 increase is relatively small, which kept us very competitive when looking at our peers. So it was just really just a good quarter, and it was across the board and all the different components of deposit fees. On the loan fee side, it was primarily driven by the gains on our own mortgage loans. We had a good quarter as far as mortgage activity, but we also had some improvement in our mortgage margin due primarily to processing, but to some extent, we just had a favorable environment for hedging our mortgage pipeline that quarter. And so both of those factored into a little improvement in mortgage margin.
Kevin D. Chapman: And David, just to add to that. As we look at Q4 -- when you look at consumer spending in Q4, it continues be at elevated levels as we get into the holiday season. So we're -- the trend of holding some of those consumer-based fees, we might -- it might not run off as much as the dips we see in Q1 and Q2. And then also, as we look at mortgage, the investments we made in our mortgage teams, the new teams in Birmingham and Atlanta, should provide additional volume as we roll into the fourth quarter.
David J. Bishop - Drexel Hamilton, LLC, Research Division: Got it. And then on the other side of the ledger there, good expense control there this quarter. Anything we should think of in terms of a good run rate? Do you think you can hold at this, I guess, $48 million unchanged level in terms of total operating expenses heading into the quarter?
Kevin D. Chapman: Yes, the short answer is it's somewhere between $48 million and $49 million. If you go back to Q2, though, remember that we had some elevated expenses in Q2. So our run rate in Q2 was elevated due to -- we mentioned some higher health insurance costs. We also had some additional expenses doing some cleanup on some problem assets. And that -- those expenses did not carry into Q3. But yes, our focus has been on improving efficiency, and that is growing revenues and keeping expenses flat. We will have a couple of additional expenses with just some new branches that are coming online in Q4 but still expect that run rate to be, to your point, $48 million and some change.
Operator: The next question comes from Matt Olney at Stephens.
Matt Olney - Stephens Inc., Research Division: Want to go back to the discussion on mortgage. It sounds like you guys are continuing to make some investments there in the mortgage business. Can you try to quantify this for us in terms of number of originators today versus a year ago or just a recent time period and also update us on what percent of production is now wholesale versus a year ago?
James W. Gray: Sure, Matt. This is Jim. Wholesale production is running about 36%. That's -- it was running about 50-50 about a year ago. So we have seen an improvement in retail. Our -- the team in Alabama is about 6 originators, and the team in Georgia is about 10 originators.
Operator: The next question comes from Kevin Reynolds at Wunderlich Securities.
Kevin B. Reynolds - Wunderlich Securities Inc., Research Division: So Robin, I've got 2 questions for you. One is -- and I got on the call a little bit late, so you may have already gone over this. Your TCE ratios, call it, 7.4% this quarter, and in the past, you've talked about the possibility -- and I think you even may have said at some point external opportunities to grow. What's the current M&A outlook look like for you? What's the target -- maybe not the target company but the range of companies in terms of size that you might look at in markets? And then as the economy has gotten sort of gradually better, do you have any thoughts about kind of the Atlanta area from a traditional bank perspective? I know in the past, you said it maybe a couple of years before, you're comfortable looking at something like that. Is that maybe getting a little bit better so you feel closer to that? And I have a follow-up question for you.
Edward Robinson McGraw: Yes. Again, Kevin, we've pretty much said that our range is about $0.5 billion to $2.5 billion, sweet spot in the $1.5 billion range, preferably within our 4-state footprint, not necessarily in our current footprint, within the 4 states that we're in. In answer to the Atlanta question, we like our Atlanta franchise. As you can see we're having very nice loan growth in that area, north of Atlanta, north of 285. So yes, we're fond of that area, and depending on the bank, we would certainly consider opportunities in that area.
Kevin B. Reynolds - Wunderlich Securities Inc., Research Division: Okay. And then I guess I had 2 follow-up questions. One is any -- no changes obviously, I guess, to the tangible book payback period or the criteria that you looked at. Still, it needs to be less than 3, 20%-plus IRR, immediate EPS accretion.
Kevin D. Chapman: That's -- you're there. Economically, that is what we're looking at, as we look at any deal, is those parameters. And if it meets those parameters, we will take a hard look at it. To Robin's point, on the Atlanta, what we've seen in Atlanta and, frankly, the reason why we went to Atlanta with Crescent is Atlanta is still one of the main economic hubs of the south. And as residential real estate heals, and is healing, we continue to see Atlanta being as vibrant from a commercial standpoint as it has been. So an area of concern that we had as we've looked at Atlanta over the last several years is, as loss-share expires, for all the bank failures that occurred, as that loss-share expires, what's the impact to the market as loss-share comes to a close? And what we're seeing is that the impact isn't as dramatic as we anticipated. So we are looking a little bit more at Atlanta or more open to Atlanta. But mainly, what it comes down to is being within our footprint in markets that can provide growth or markets that can provide a good stable deposit base and then meets our economic metrics. We earn back the EPC accretion and the internal rate of return.
Edward Robinson McGraw: And one thing to that, too, Kevin, as we talk about Atlanta, we're looking pretty much -- we like the area, between 75 -- I-75, I-85, north of 285, with the exception being Buckhead, I think, would be the other area that we look at. We're pretty particular about the Atlanta market as to which area the Atlanta market that we'd prefer to be in.
Kevin B. Reynolds - Wunderlich Securities Inc., Research Division: Got you. And so could you maybe -- as my final question, could you maybe probability weigh the chances of you having a branch footprint in Atlanta proper sooner than the Ole Miss Rebels make it to the SEC championship game in Georgia Dome?
Edward Robinson McGraw: Or you get prepared to roll down sail [ph]. Mike Ross is getting tired of these Ole Miss questions quite frankly.
Michael D. Ross: I am enjoying seeing the grin on your face, Robin.
Operator: The next question comes from Eric Grubelich [ph], private investor.
Unknown Attendee: Two questions for you. One, just so I understand, on the M&F portfolio, were you suggesting that the runoff there, net of new loans, is sort of balancing out or evening out as we go into the fourth quarter?
Kevin D. Chapman: I think it'll be next year, first quarter next year before it evens out, but we're getting closer and closer. That's the normalized runoff, Eric. That does not count any problem credits that we bring to resolution over and above that.
Unknown Attendee: Sure. And just when you look -- when you originally announced this deal, is the drop in the portfolio more or less in line with what your original expectations is? Or is it maybe worse?
Kevin D. Chapman: All right. The -- let me answer it this way. The actual normalized payoffs, paydowns is about where we expected it. Where the difference is, is we were -- we have been able to bring to resolution some of the credits that we were not enamored with faster than we originally anticipated.
Unknown Attendee: Okay. So yes, I didn't mean worse in a bad sense. But yes, if you can get rid of some loans that you didn't want, that's, I guess, a good thing.
Kevin D. Chapman: Yes. And just to that point, we anticipated some of these pools to run off. Some of these pools of loans that we had concern, either from a credit standpoint or from a concentration standpoint, some of the loan portfolios, they had just -- they were larger exposures than we were -- really wanted to take in that asset class or that collateral type. We had a plan to work them out, to Robin's point. What the surprise has been is how quickly we've been able to work out at some of those at par. We anticipated a longer workout period.
Unknown Attendee: Okay, understood. And then if I could just switch, on the securities portfolio, it continues to inch down a little bit every quarter. Where do you think you bottom out there from a liquidity perspective?
Kevin D. Chapman: We feel that our portfolio, as far as dollars in the portfolio, is about as low as we'll go as we've had a -- the seasonal decline in our public funds. We've had less need for the whole securities for pledging purposes. So we've allowed some of those securities just to kind of runoff, normal runoff, and certainly not -- didn't sell any securities with normal runoff. We anticipate that going into the end of the first -- fourth quarter and then certainly into the first quarter of next year, we will have just some -- we're not aggressively seeking public funds, but just from the public funds that we do have, we'll have the normal increases there with tax receipts and such. And we'll have to purchase some securities to cover that. What we feel in that 2.95%, 3% range is a -- that our -- we should stabilize the portfolio at that kind of yield. And dollar-wise, we'll probably -- it probably will ultimately be back over $1 billion but kind of in the $1 billion dollar range in that 3% range for yield.
Unknown Attendee: Okay. So there still is some -- there is some element of seasonality to it, I guess, if you could call it that. But it -- I was just looking at it really year-over-year from, I guess, before and after you did M&F. And I'm curious if your thought on liquidity was maybe changing a little bit, especially given your comment about the new implementation of Basel III. So -- but that's fine. I got it.
Kevin D. Chapman: Yes. No. And under Basel III, we're not impacted by the new liquidity coverage ratio. This would just be maintaining the investment portfolio at a level really to cover our pledging requirements. As we look ahead into future years, we have a strategy of reducing our funding from secure deposits so that as -- so that we can reduce the security portfolio at a little bit quicker cliff. But again, it would be -- that would be over a longer time horizon.
Operator: Next question comes from David Bishop at Drexel Hamilton.
David J. Bishop - Drexel Hamilton, LLC, Research Division: Just wanted to circle back. And in terms of the increase in credit costs this quarter, the tick-up in charge-offs and the loan loss provision. Any color in terms of what drove that increase this quarter? Is it sort of a one-off cleanup quarter? Just curious what drove that.
Edward Robinson McGraw: Yes, mainly just cleanup, David. It's mainly just cleanup. In particular, we had actually one of the charge-offs, and all were reserved for previously. We had a -- some litigation that we've been working through, trying to get access to a particular piece of collateral that we ended up finally bringing to resolution and charged off the balance of it, which was the largest part of the uptick. And there were some cleanups, some others. Kevin, you...
Kevin D. Chapman: Yes. And then just on the provision side, the provision -- the uptick in provision was really just to replenish for some of those charge-offs.
Edward Robinson McGraw: On the other side of it, too, we had that one credit that from a nonperforming standpoint, it was 90 days. At the end of the quarter, we had some guarantors that were having some conversations between themselves that we finally were able to bring to resolution. After quarter end, the loan -- the payment was made, and the loan was renewed, and there shouldn't be any issues with that credit.
David J. Bishop - Drexel Hamilton, LLC, Research Division: What was the size of that credit?
Edward Robinson McGraw: $4.7 million. That was the tick-up in the nonperforming loans. That one particular credit, when you're down at the $20 million level, $5 million credit has a big impact on your ratios. And it just carried while they worked out their disagreements among themselves.
Operator: The next question comes from Andy Stapp at Hilliard Lyons.
Andrew W. Stapp - Hilliard Lyons, Research Division: I apologize if this question's been asked earlier, but our building had the audacity to do a fire alarm during earnings season. But what is your yield on loans during the quarter?
Edward Robinson McGraw: Well, ask again, Andy. I was laughing.
Andrew W. Stapp - Hilliard Lyons, Research Division: Yes, yield on loans.
Edward Robinson McGraw: The yield on the loans for the quarter, Jim, you want to go ahead and give that again?
James W. Gray: Andy, all-in was at 5.01%, and core excluding all purchase accounting was at 4.59%.
Andrew W. Stapp - Hilliard Lyons, Research Division: I'm sorry, was that, 4.59%?
James W. Gray: Core -- yes, 4.59%, which was pretty stable from the prior quarter, as was pointed out earlier, that there -- a fair amount of fluctuation on all-in with the purchase accounting, but the core is continuing to hold its own and maybe getting a little improvement there.
Operator: The next question comes from Peyton Green at Sterne Agee.
Peyton Nicholson Green - Sterne Agee & Leach Inc., Research Division: Question maybe for Kevin. The deposit fee number was really strong. Fee and commission income was really strong. Mortgage numbers were strong. How would you think -- I mean, what's the seasonality like heading into the fourth quarter for those lines? And then is there -- and then also maybe what's the variability on the expense side relative to movements on those lines?
Kevin D. Chapman: Yes. So just on the fee income side, Q3 and Q4 are -- when it comes to deposit fees, service charges, debit card income, all of that is based on consumer spending. With back-to-school or summer vacations, typically, you see an uptick in all of those -- you see an uptick in consumer spending, which leads to an uptick in the fees. We also see that same thing in Q4 when it comes to the holiday seasons. You have the back-to-school in August and September and summer vacations in Q3. As we get into November and December, we do see an uptick in consumer spending just for the holidays. As it relates to mortgage, one thing that we -- one thing particular to mortgage is as the 10-year has fallen here in the first half of October, mortgage rates have fallen. And I think we're now seeing 30-year rates with a 3-handle, which is causing an uptick in mortgage activity. So if we -- if rates are providing some uptick in mortgage activity, we've added and hired new teams in the mortgage group that we haven't yet fully realized all of their production on a quarterly run rate. We're anticipating to have a good mortgage quarter as well as we look at Q4, which is a little bit of an anomaly because if the rate -- if the fallen rates wouldn't have been there, we probably would have been forecasting a falloff in mortgage activity just because of the lack of home-buying as you go into the holiday seasons. The variability on the expense side is with that mortgage group, they're primarily commission-based. And so to the extent that the production is there and the revenue is there, the expense will be there as well and then vice versa. On the fee -- on the consumer-based spending and the fee income, there's not a lot of variability, but fixed costs are already embedded in the run rate for Q3. If we drive additional income because of consumer spending, that won't -- that will not result in incremental amounts of additional expense to drive that revenue.
Peyton Nicholson Green - Sterne Agee & Leach Inc., Research Division: Okay. So I mean, you would feel better about a linked quarter comparison being relatively flat for noninterest income going into the fourth quarter than maybe historically would have been the case?
Kevin D. Chapman: Historically, yes, yes.
Operator: Our next question comes from Kevin Reynolds at Wunderlich.
Kevin B. Reynolds - Wunderlich Securities Inc., Research Division: Yes. It's a follow-up question again that I may have missed, and I apologize. Could you remind me what the growth -- what the organic loan growth rates were in each of your states, Alabama, Tennessee Mississippi, North Georgia? And then I missed what the core margin was. I know you guys said that there was some -- it looked like perhaps core yields were drifting higher, but what was the core margin in the quarter?
Kevin D. Chapman: Yes. So I'll go ahead and handle the core margin, while Robin gets the loans by -- I'll let Robin handle the loans by market. But if you look at a core margin, we've reported the margin of a 4.12%, and included in that was about 11 basis points of additional amortization from the payoffs of M&F, additional income from the -- from recapturing the non-accretible difference. That was about 11 basis points. So that nets out to a 4.02%. You compare that to a 3.96% for Q2 of '14. So that -- so margin was up, call it, 5 basis points.
Edward Robinson McGraw: Kevin, loans in Alabama grew by about a little bit less than 5%, about 4.8%. Mississippi increased at about 11.5%. Tennessee was up about 8%, and Georgia was up, again, about 22.5% for the quarter. So nice growth in each of the markets that we're in.
Operator: This concludes our questions-and-answers session. I would now like to turn the conference back over to Robin McGraw for closing remarks.
Edward Robinson McGraw: Thank you, Amy. We appreciate everybody's time today and everyone's interest in Renasant Corporation. And once again, we look forward to speaking with you again in the future, hopefully next quarter. Thank you, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.